Operator: Good morning, ladies and gentlemen.  Today is Tuesday, July 25, and welcome to the Butler National Corporation Fourth Quarter and Fiscal Year-end 2017 Financial Results Conference Call.  [Operator Instructions] Your call leaders for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and Chief Executive Officer; Craig Stewart, President of Aerospace Group. I'll now turn the call over to your host.  Mr. Drewitz, you may begin. 
David Drewitz: Thank you, and good morning to everyone on the phone call today.   Before Mr. Stewart begins, I would like to draw your attention to except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor's provision as outlined in the Private Securities Litigation Reform Act of 1995.  Forward-looking statements involve known and unknown risk and uncertainties which may cause Butler National's actual results in future periods to differ materially from forecasted results.  Those risk include, among other things, the loss of market share through competition or otherwise; the introduction of competing technology by other companies; new governmental safety, health and environmental regulations which could require Butler to make significant capital expenditures.  The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances.  Important factors that could cause actual results to differ materially from expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission. So with that completed, I would like to turn the call over to Mr. Clark Stewart.  Mr. Stewart? 
Clark D. Stewart: Good morning, ladies and gentlemen.  We appreciate you taking the time to join this call this morning and review our 12 months ended April 30, and our quarter ended April 30, 2017. We've had a good year, I think, as far as Butler National is concerned.  Both segments of our business have flourished.  And the Aerospace side of it has significantly improved.  But as I caution all of you, we're in 5-year cycles with this airplane business. On the Professional Services, on the gaming side, we've had a good year.  We've turned around the decline in visitors and activity at the casino over the past year.  And as you can see, we've got an increase in revenue, while the economy in western Kansas has been terrible.  And so we've been able to do that, and I'm really proud of both the Aerospace and the professional service teams for doing that. If we review some of the details on page 40 and 41 of the 10-K, you'll see the balance sheet and the income statement.  And that will give you, I'm sure that when you have time to look at that, you'll see that we are better off. Our current assets have increased from April 30 of '16.  Our cash is down a little.  The receivables are up, [ that ] primarily receivables on work-in-process at Avcon.  And Avcon is having a strong quarter and is doing well year-to-date.  But basically we're pleased with the performance. I guess we should look at each segment in a little bit more detail.  On the Professional Services, that's a increase of 4% to $30.8 million from $29.8 million a year ago.  So we're up $1 million in revenue.  And $860,000 of that is from the casino. Costs increased from $17.9 million to $19.1 million with the additional revenue.  We've decreased expenses, however.  And what we did there is we shifted from some marketing media tools to more people on the floor greeting the patrons.  And I think that's the reason we're driving up the revenue.  Plus, we went to much more digital marketing and less TV and radio.  So that's the shift you're seeing in the costs.  Total costs moving with the revenue pretty steady actually. And as you can see there, 33% of the revenue compared to 35% the previous year, with the revenue increase of 4%.  So we did a good job out there. In the Aerospace business, revenue increased 32% from '16 to '17, roughly $19.8 million versus $15 million.  Costs increased 20%, which means that we should make money, and we did.  Costs were 81% of sales in '16, and went to 74% in '17. Expenses decreased relative to the absolute dollars to  $3.3 million from $3.8 million in '16.  Some of that is R&D is about $200,000 of that, and the rest of it is just more efficiency. Let's see.  Operating income for the Aerospace is $1.9 million versus $975,000 loss a year ago, or a swing of almost $2.8 million.  So that's a significant improvement down there.  And it has to do with product mix, which we generally don't talk about.  But that's really what it is, plus more efficient scheduling. Our backlog as April 30, 2017, is sitting at $10.8 million.  A year ago, it was $11.4 million.  So you can see in the past year, we've done almost $20 million worth of business and our backlog is $600,000 less.  So we think that's not negative, but that's going down that it's a positive thing that we were able to ship that backlog.  As you remember, I've talked about the fact the backlog is there, can we really get it out the door and get the profits. So that kind of covers what's in the annual report.  I believe the quarter reflects the same comments as I just made. Our total assets are about $43 million and our stockholder equity is about $28.3 million. We did earn $0.02 a share for the year compared to $0.00 last year.  And our R&D, as it shows there, went from $1.8 million to $1.5 million.  So we have a decrease in that.  That's primarily in this last quarter.  We really didn't have time to -- the R&D kind of goes on the shelf when we're really busy.  And so that's really what happened there. We still will be expending the R&D on a lot of the avionics that's coming up here in 2020. Let's see.  Craig, do you have any comments you want to make on this quarter and year-to-date? 
Craig Stewart: No.  I think the biggest thing is from a Aerospace standpoint is that we had a real successful year with all three of the pieces in Tempe, Newton, and there with Butler Avionics, and the backlog still stands strong.  So I think, yes, things are positive for us to stay pretty busy for the foreseeable future here. 
Clark D. Stewart: Yes, I agree.  And if you look at the quarterly information for the last four quarters, we did $11.4 million, we did $12.8 million, $11.3 million, and $15.1 million, which adds up to the $50.6 million, which is a pretty -- that's pretty steady.  We like the fact that it's steady.  I'm not guaranteeing that we'll be able to keep that, that way.  But that's certainly a good thing. The only other item that's significant on page 41 of the annual report is the tax payment of $0.75 million.  And that requires cash, which we don't like to give up cash.  But that's a positive thing. As far as the other things that are out here, Craig, you might want to comment on our attempt to buy stock in the open market has been kind of an adventure.  And you want to comment on the rules and regulations that are affecting that? 
Craig Stewart: Yes, I will.  We did manage to buy a little bit of stock back in March and April before we finished the year-end.  But it is a struggle because you can't be the first or last transaction of the day.  You can't go in a bit higher than what the current bid is.  There's limits on how much stock you can buy on an individual day on the open market.  But we'll get back out there hopefully here, and we'll have a few days here to get back out there and see if we can buy a little bit of stock.  And then we'll have to go on another blackout period until we're through with reporting the Q1 fiscal '18 numbers, which should be in mid-September. So that's kind of where we are.  But we are continuing the program to try to buy back stock, and we'll continue that here through the next probably year, year and a half, I think is what we were authorized to do. 
Unknown Executive: Yes. 
Clark D. Stewart: Thank you.  Far as the climates for changes in the state of Kansas, if you've paid attention to any of the news at all, the governor of Kansas is supposedly going to step down and have a job in Washington sometime this summer or fall.  We're not sure when all that's going to happen.  There's been a couple of newspaper articles on it. We kind of are holding off on trying to do much with the extension of our contract or some of the other items until the transition occurs and the activity settles down there in Topeka and they can focus on helping us out. As far as the refinancing, as you know, that's dependent upon our ability to extend.  And so we're going to have that on hold.  We've told the bank they're just going to have to wait until we can get something settled down in that part of it. We have had some attempts in Kansas to expand gaming significantly in the state.  And the results of those activities have not been able to pass any changes in the law.  And even they tried to change the lottery dispensing machines and put some of those in, and governor somehow decided to veto that.  So there's been really no change in the regulatory environment here in the state.  And we'll see if that changes next year. I guess, Mr. Reedy's here.  Do you have any comments? 
Christopher Reedy: No. 
Clark D. Stewart: Tad, do you have any comments? 
Tad McMahon: I do not. 
Clark D. Stewart: Tad McMahon, our Chief Financial Officer. Craig, do you have any other comments before we open it for questions? 
Craig Stewart: No, I'm good.  Let's get to questions. 
Clark D. Stewart: All right.  David, let's go to questions. 
David Drewitz: Excellent.  Erica, can you open the floor to -- 
Operator: [Operator Instructions] Our first question comes from Tony [ Piscata ].  Please state your question. 
Tony Piscata: Good year.  Good quarter.  My question centers around the potential buyout of the actual casino property itself.  Now, based on your prior comment, I was a little surprised that you all are in a posture right now of potentially looking for an extension of the license, of the managerial license for Boot Hill this earlier.  Is that normal?  And is that going to be -- is the potential financing of the acquisition of the physical property, is that going to be contingent on you all getting an extension of that contract early? 
Clark D. Stewart: No, I don't think it's really contingent.  I just don't want to try to -- the lottery in the bill that was vetoed, had tried to extend the lottery gaming law that we all operate under and stop the sunset.  So there's lots of confusion about extensions and what all happens there.  And I'm just saying, I don't want to get into that turmoil.  Even though the bank might do it, I don't want to cause that to be a focus on Boot Hill.  And I think that's really what I'm saying.  I'm not so much -- our decision to go over there and get in the middle of the state politics is probably one of experience saying you don't win those.  So I think what I'm saying is, let's give it a couple or three months here to get through the transition to the lieutenant governor and everything settled down a little bit and see where we go from there. 
Tony Piscata: Based on your experience of the incoming lieutenant governor who's going to be the governor, does he maintain the same philosophical bent that Brownback does? 
Clark D. Stewart: I don't know that at all.  He's a medical doctor, as you know.  And so I'm sure he has his own agenda, but I don't know what that is. 
Operator: [Operator Instructions]  At this time, we have no further questions. 
Clark D. Stewart: All right.  David, I guess we need to wrap it up.  I want to thank everybody for spending their time this morning to talk about Butler National.  And sorry we didn't have any more questions, but that means that Tad and Craig did a great job getting this documentation out there.  So thank you very much, and we appreciate it.  You have a good week and we'll be back with you one of these days.  Thank you. 
David Drewitz: Thank you, everyone. 
Operator: This concludes today's conference call.  Thank you for attending.